Operator: Good day, ladies and gentlemen, and welcome to the Perma-Fix Second Quarter 2021 Conference Call. All lines have been placed on a listen-only mode, and the floor will be open for questions and comments following the presentation.  At this time, it is my pleasure to turn the floor over to your host, David Waldman, Investor Relations. Sir the floor is yours.
David Waldman: Thank you, Rushan, and good morning, everyone, and welcome to Perma-Fix Environmental Services second quarter 2021 conference call. On the call, with us this morning are Mark Duff, President and CEO; Dr. Lou Centofanti, Executive Vice President of Strategic Initiatives; and Ben Naccarato, Chief Financial Officer. The company issued a press release this morning containing second quarter 2021 financial results, which is also posted on the company's website. If you have any questions after the call or would like any additional information about the company, please contact Cresendo Communications at 212-671-1021. I'd also like to remind everyone that certain statements contained within this conference call may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and include certain non-GAAP financial measures. All statements on this conference call other than a statement of historical fact are forward-looking statements that are subject to known and unknown risks, uncertainties and other factors, which could cause actual results and performance of the company to differ materially from such statements. These risks and uncertainties are detailed in the company's filings with the US Securities and Exchange Commission as well as this morning's press release. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after the date hereof that bear upon forward-looking statements. In addition, today's discussion will include references to non-GAAP measures. Perma-Fix believes that such information provides an additional measurement and consistent historical comparison of its performance. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures is available in today's news release on our website. Now I'd like to turn the call over to Mark Duff. Please go ahead, Mark.
Mark Duff: All right. Thanks, David, and good morning everyone. During the first half of 2021, we continue to experience the impact of COVID-19 pandemic as the federal government has been much slower than the commercial sector to resume normal operations. This was not unique to us but has been experienced across the industry by most of our peers as well. Nevertheless we were able to report a net income of $3 million for the quarter. We have $7 million of cash on the balance sheet and have lowered our bank debt to under $1.5 million. Importantly we've begun to see activity pick up heading into the third quarter and expect a solid second half of the year barring any further slowdowns related to the COVID-19 new strains. Not only did we see things pick up this year, but we also believe we're very well positioned for 2022 as there is a tremendous pent-up demand in both our Treatment and our Services segments. Turning first to our Services Segment. We -- our bidding pipeline is more robust than ever. As I mentioned last quarter our teams have been working around the clock. And we've been developing four or five simultaneous proposals at any given time. This is a direct reflection of the improvements we've made internally and specifically within our bidding organization. As a result we are now bidding on a wide array of contracts collectively valued in the hundreds of millions of dollars. That is -- the fact is that we're not losing bids. The government procurement process has been delayed in these contracts will eventually get awarded. Just last month we were awarded a multimillion-dollar service contract for the Tritium Systems Demolition and Disposal project, which is expected to be completed over the next 18 months. We believe this contract is a good illustration of where things are heading and reflects our competitive edge, as this specific procurement includes significant competition with several of our toughest competitors as well as larger firms all bidding against us. Although this particular contract is smaller than some of the other contracts we're bidding on, it does show that the market is starting to open and we expect more contracts to be announced and awarded in the coming weeks and months. It's also worth noting that some of the contracts we're bidding on, if we are successful could be transformative to the company. Importantly, these larger site operations and cleanup procurements within the Department of Energy are multibillion-dollar awards and include substantial small business, subcontracting requirements as a percentage of the revenue. This plays into our strength, as Perma-Fix plans to remain a small business as defined by the government as under 750 employees for the foreseeable future. While we're working hard to secure teaming relationships on the proposal efforts, even if we're not successful on initial awards there's still significant future opportunities for subcontracts with these primes on these projects within both of our segments. Turning to our Treatment Segment. We're beginning to realize increases in waste treatment activity both in bidding opportunities, receipts and plant production as our Services Segment shipments have been delayed through most of Q2, but it's important to reiterate this business has not gone away. In fact the backlog of waste that must be treated continues to grow. Due to the diversification efforts of our sales team, we've been able to penetrate several new commercial markets and coupled with our typical government acceleration at the end of the fiscal year, which is Q3, we anticipate waste receipts rates closer to normal heading into September and into Q4. We also continue to expand our waste treatment offering. We recently completed design and began fabrication and construction of our new Therma-Fix Gen3 system, a third-generation vacuum thermal desorption system. The Therma-Fix Gen3 unit offers a treatment solution for problematic waste streams, while providing increased efficiency and productivity as well. With our initial sales launch just a couple of months ago in June of 2021, and even before the unit has commenced operations we've already secured an existing on-site waste treatment backlog in inventory and a large sales pipeline, which underscores the demand for this capability in both the commercial and the government sectors. We're very excited about the system and anticipate steady receipts up through start-up in the fourth quarter and well into the 2022 time frame. Turning to the Test Bed initiative, which we refer to as TBI, it's also referred to as the low-level waste off-site disposal project. We continue to progress and have received strong support from the Department of Energy in terms of providing a supplemental pathway for treatment of low-level waste from the 56 million gallons of tank waste located at the Hanford reservation. DOE recently notified that Washington State Department of Ecology that they are preparing an environmental assessment on the next phase of the test bed initiative. The Environmental Assessment or EA process is one of the final steps required, before we can commence Phase 2 of the project, which will include extraction, shipment and transportation of 2,000 gallons of tank waste to our Perma-Fix Northwest facility located in Richland Washington. DOE officials have recently stated that shipment of this waste to our facility should occur prior to next summer. As recently reported in the local Hanford Area newspaper, the Tri-City Herald use of routing, which is the basis of our process to treat the Hanford tank waste could save the taxpayer millions -- billions of dollars and speed the emptying of the tank waste from the leak prone underground storage tanks. As we've stated in the past, assuming we're successful this project can be quite transformative to our company and will supplement the vitrification which is currently under construction and testing at the DOE Hanford site. So, to wrap up while we're disappointed in our overall Q2 performance we believe Perma-Fix is well positioned for growth. I'm especially proud of our business development efforts our team has initiated and completed which highlights our ability to adapt to the changing market. During this period, we've also invested in our capabilities and our facilities and have built a highly scalable infrastructure with a first-class team of folks to take us to the next level. Now with the return of normalization following the pandemic, we truly believe we're well positioned to aggressively grow both sides of the business and we're starting to see things pick up. As we look at our pipeline for the balance of this year and beyond, we expect to resume solid organic growth in the near term. I truly believe that the future is brighter than ever for Perma-Fix and we look forward to driving significant value for our shareholders. On that I'll now turn it over to Ben who will discuss the financial results in more detail. Ben? 
Ben Naccarato: Thank you, Mark. I'll start with revenue. Our -- and as mentioned earlier the COVID pandemic really impacted our revenue in both segments as government sites haven't shipped the waste at their historic volumes and have been very slow to award or fund projects in the Service Segment. So as such, our total revenue for continuing operations for the second quarter was $16.1 million compared to last year's second quarter of $22 million, a decrease of $5.9 million or 26.8%. The decrease in the revenue is primarily due to the drop in the Services Segment and that totaled about $5.8 million, while our Treatment Segment was only marginally down from prior year about $134,000. The drop in the revenue in Services was due to the completion of a large projects whose revenue, we've not been able to replace by another project or projects of equal value. For the year-to-date June 30th, our revenue was down $7.6 million or 16.2%. And this drop in revenue comes from both segments as the Service Segment has been impacted again by the completion of certain projects and is down approximately $5.4 million while the Treatment Segment has been impacted by the drop in volume of waste and is down $2.2 million from last year. Gross -- from a gross profit standpoint the quarter was $966,000 compared to $3.3 million in the second quarter of 2020. And the drop in the gross profit was approximately $2.3 million up $2.3 million was primarily from the Services Segment where reduced project revenue impacted gross profit from both a volume and margin standpoint. Also lower volume of waste mix had a minimal impact on the Treatment Segment, while the fixed costs at the plants were -- we were able to keep that fairly constant. For the six months ended June 30, gross profit was $3.3 million compared to $7.9 million in prior year. This drop in gross profit was impacted by the lower volume in both segments, as well as reduced margins in the Service Segment projects. Our G&A costs for the quarter were $3 million compared to $2.7 million in the second quarter last year. This increase of $297,000 was primarily related to increased salaries and consulting expenses that supported the increased bid and proposal activity. For the six months ended June 30th, G&A costs were $6.2 million compared to $5.6 million in the prior year. And again the biggest impact on this variance was the higher bid and proposal expense from labor costs and outside consultants. Our net income attributable to common shareholders for the quarter was $3 million compared to last year's net income of $204,000. The main driver of this improvement was a gain on the extinguishment of debt related to the company's PPP loan which totaled $5.4 million and was forgiven in June of 2021. Our basic income per share for the quarter was $0.25 compared to income per share of $0.02 in the prior year. Our year-to-date basic income per share was $0.16 compared to $0.12 in 2020. Our adjusted EBITDA from continuing operations for the quarter as defined in this morning's press release was a loss of $1.7 million compared to income of $847,000 last year and this reflects the lower revenue in both segments impacted by the ongoing effects from the COVID pandemic. Turning to the balance sheet compared to year-end 2020. Our cash on the balance sheet was at $7.3 million compared to $7.9 million at the end of 2020. Our unbilled receivables were down $7.1 million, which reflects the reductions in revenue compared to Q4 in the service segment. Our current liabilities were down $8.8 million as a result of the timing of our payments a reduction in the activity in the service segment and the forgiveness of the PPP loan. And our backlog at the end of June was $6.7 million which is down from $7.6 million at year-end and up slightly from $6.4 million in June of 2020. And our total debt for the quarter -- at the impact quarter end was $1.3 million, which is primarily owed to PNC Bank our credit facility. Finally, I'll talk about cash flow activity in 2021. Our cash provided by continuing operations was $803,000; our cash used by discontinued operations is $315,000; cash used for investing of continuing operations was $649,000, which is primarily cap spending; and our cash used for financing was $439,000, which represents our monthly payments on our term loan totaling about $219,000 and another $220,000 per finance lease and debt issuance costs. With that operator, I'll now turn the call over to questions.
Operator: Okay. Ladies and gentlemen, we have reached the question-and-answer portion of the call.  And our first question comes from Howard Brous. 
Howard Brous: Mark, Ben, first of all, I hope you and your families are well and protected from the COVID. Have anybody been affected by it?
Mark Duff: So far so good Howard. Thanks for asking.
Ben Naccarato: Yes. We're good at the families Howard.
Howard Brous: All right. Thanks. That's the most important thing. Let me first start with TBI the filing. When do you expect that filing to the state?
Mark Duff: Right now, they're working on the permit -- the weird permit and I don't know exactly when that's supposed to go in, Howard. I know that the -- that they have scheduled a hearing for the EA for the based on draft comments -- the comment period. That's supposed to happen in the next few months and then, they'll submit the permit to the state. And they're doing it in sequence as opposed to in parallel, which is something we're pushing them to try to consider doing both at the same time. But all that should happen in the next three to four months and support getting to a point of beginning to do this extraction in the spring.
Howard Brous: Given that permit, what are the possibilities or probabilities that once you start extracting the 2,000 gallons the spigot stays open?
Mark Duff: It's difficult to speculate, how we're -- we're certainly keeping that option open and we're able to support it staying open. We can do up to 300 gallons a year now with our capability to end with our permit. So, we're certainly promoting that. We need to decide to do that. There's still some question as whether they're going to use the TSCR system, which is much more elaborate pumping and extraction system or the originally designed what we call pump on a stick that was designed just for TBI, which is much slower. And if they use that TSCR system, it will go very quickly and pull out about five times as fast. So that would certainly set this up for a more sustainable approach. I don't know, if DOE has made this decision internally yet. But certainly, one could speculate that if you're treating the tank waste successfully, that they would continue to support that demonstration with greater volume, but it would be speculation to make that assumption.
Howard Brous: Okay. Fair enough. Am I missing something, but is it fair to say that a good number of the mid-level executives in the DOE have not been appointed and that's part of the problem of the lack of some of these large awards?
Mark Duff: Yes. It is a fair statement. Howard, I think again, it's really difficult to understand what's holding some of these bids up. As we've mentioned in the last several conference calls, we have pretty sizable spreadsheet of bids that we've submitted with significant award values and commitments for awards have been just continually delayed. One could speculate and I would definitely believe Howard that your statement is true is that, because there is not a -- assistant secretary confirmed by the new administration that there is a tendency to wait for that to occur. And while they do have a good team of folks, they're carrying over from the old administration that are managing things there's just -- it's a natural I think tendency to wait for the new person to arrive to make these big decisions. So, I would speculate across the board Howard that the lack or delays of getting the assistant secretaries in place in many of these cases, it has an impact on the procurement process for sure.
Howard Brous: Would that be the same for the EPA with the Navajo bids?
Mark Duff: The Navajo, what you're speaking about is the abandoned uranium mine program and that one is more of a mystery. I have to assume you're correct on that.
Howard Brous: Right.
Mark Duff: And that one is more of a mystery. I have to assume you're correct on that. I don't follow the EPA organizational chart, as much as DOE, but I have to assume it's a similar situation. I know, at one time it was funded. I don't know if that's changed.
Howard Brous: It was funded.
Mark Duff: Yes. It's a significant program that has a very significant future for us and for other participants. And we were initially informed that task orders would have been distributed months and months ago. So I don't know what's holding it up. We had a difficult time finding information or getting information back from it. And -- but I have to assume you're correct, that it's largely because of administration changes.
Howard Brous: Well, the settlement was $1.7 billion EPA with the Navajo. So the contract we're talking about is about $220 million, if my memory serves me correctly, does that sound about right?
Mark Duff: That sounds about -- that's basically the contract value for that. Yes, that's correct.
Howard Brous: All right. What about as an example Moab, Luckey, Oak Ridge, the Navy bids. Is that all the similar vein that we're still awaiting?
Mark Duff: That's correct, Howard. There's also, though -- even at lower levels, there's a lot of task orders in the $5 million to $10 million range that don't require that level of approval. And the procurement processes are just moving really slow across the country, in all different organizations. We have task order bids, the DOE, the Corps of Engineers, the Navy all waiting for announcement of award and mobilization. And it's really every level of procurements have been very lethargic in the decision announcement process. So it may not just be the administration issues. I think it's largely COVID related, where it's just a lot of people working from home. And the rush to get back out in the field is not there yet, because our clients are not out in the field yet. So, it's really both. The larger ones are certainly administration dependent, but the smaller ones, I think, are just slow processes in the procurement cycles.
Howard Brous: Mark, Ben, wish you the best. Stay safe and good luck. Thank you very much.
Ben Naccarato: Okay. Thanks.
Mark Duff: Appreciate your accord, Howard. Appreciate it.
Howard Brous: Bye-bye.
Operator:  Up next we have Ryan Hamilton . Ryan, please state your question.
Unidentified Analyst: Good morning, everyone. And thank you for taking my questions.
Ben Naccarato: Hi, Ryan.
Mark Duff: Good morning, Ryan.
Unidentified Analyst: Could you -- you touched a little bit in your opening remarks, but could you walk us through the cadence of the quarter? And maybe start with March and kind of just walk us through how March -- or how, like, May look compared to April and so on. Can you just walk us through that if you don't mind?
Mark Duff: Yes. Ryan, March and April, were -- and we talked about this several quarters ago and we had kind of a fiery discussion, I want to say, in Q3 and four last year. So we expected Q2 to be a tough quarter for a number of reasons. Number one, we had targeted and defined an unusually large quantity of large procurements, like the Moab procurement and a number of others that were going to require some investment and positioning that we felt we had a real offering that was going to be very competitive. And we did get that and we got a number of others. So as far as the cadence on the Services Segment, we saw the project in Seattle, which was very good to us for two years, ramped down, a significant ramp-up in proposal efforts which took a significant investment through Q2 and the lack of awards of outstanding bids that we've already submitted. So all that together showed, we've demonstrated a drop in revenue in the Services side of the house. And we were not able to replace quickly enough that Seattle project that was generating significant revenue for us. So we're anticipating, we'll win our share of these awards. And as soon as the thing is awarded we'll be back in action to replace the Seattle project. The one we did win was the Princeton Plasma Physics Lab. We'll start to do that. It's ramping up quickly. We have a number of others that are smaller and we have a couple of others that we're expecting here about any day. And we still expect those to start impacting our end of our Q3. On the Treatment side of the house as far as your term cadence goes, we did start seeing things pick up. They've ramped up a little bit every month. We had a couple of very sizable receipts bump from June into July and August that lowered us a little bit towards the end of June. We're starting to see our backlog creep up. And -- but more importantly, we're seeing a lot of opportunities to bid on waste receipts. And as I mentioned before we're getting some backlog and inventory for our new system in Florida the BTD. So all these things together and knowing where our clients are going with backlog to move before the end of the fiscal year, we're anticipating looking at a better Q3 than we did in Q2 on the waste receipt side of the house particularly. So we're seeing some things pick up. We're very -- our sales team is very busy now. You asked about kind of contrast in March. We weren't flying anywhere. Our clients weren't meeting with us because they had restrictions on visitors. Now our entire sales team, I look down the hallway that all the offices are dark and they're out in the field meeting with folks, going to conferences and meeting with commercial clients, doing presentations, all that kind of stuff. So it's a lot different energy than it was just in March and that's ramped up through the quarter and provides kind of the energy and optimism we have for where the waste treatment side is going. It's kind of a long-winded answer Ryan.
Unidentified Analyst: No. That's great. And I appreciate the color. You touched on backlog. Could you break out what you have between Treatment and Services currently? 
Mark Duff: Well, I think, I'll let Ben jump in. I think, Ben mentioned a $6.7 million backlog at the end of June. I believe Ben that was just for Treatment if I remember correctly and with our Services it's a little bit more than that. You want to address that Ben? 
Ben Naccarato: Yes. It's $6.7 million was the Treatment backlog. Services is in around the $30 million to $32 million range at the end of the quarter. And that's funded... 
Unidentified Analyst: Yes. No, I'm sorry what was that? 
Ben Naccarato: That's funded backlog. We track various looks at backlog in the Service segment because there's projects with high that you may have won, but it's not funded and there's some that are high probability. But what kind of the surest thing is the funded backlog and that was at about the $30 million to $35 million range.
Unidentified Analyst: Perfect. You touched on SG&A being up a little bit on wages and a couple other things. As you -- assuming that COVID kind of drags out a little longer here are there any other big ticket items that you could kind of extract out of SG&A costs at all?
Ben Naccarato: Yes. We're pretty lean on G&A. There's always some. You can -- depending on urgency, but we are a smaller public company and certain costs just don't go away. And that's why we're so dependent on -- and the needle moves so quickly on revenue shifts. Again, there is always certain costs, and we're always looking at them on a regular basis. But if you look at the history of our G&A number good and bad years, it's always kind of been in a certain range. 
Unidentified Analyst: Got you. And kind of along those lines as far as increasing wages, are you -- on your bidding activity are you increasing price?
Mark Duff: That's a good question Ryan. It's pretty flat on the Services side of the house. It is very competitive as our competitors are quite hungry as well. If you listen to some of the other earnings calls from the big boys that we team with as well as some of the smaller private companies. Everyone's waiting for the same bids, waiting for things to be awarded, and projects are being completed the same deal. Everyone is really going through the similar cycles. So there is more of a tendency to reduce your fee and your margins, but wages are pretty consistent, and we're not seeing that change dramatically year-over-year overall. And that's really when it's important to have a technology that can cut costs, which we have got several that are in our procurement. So we're hopeful we'll be able to show greater value on some of our bids.
Unidentified Analyst: Excellent. And kind of along those lines as far as bidding activity goes you've touched a little bit on it. Could you maybe go into maybe the size of the job that you're seeing -- that you're putting out bids on number of bidders kind of just walk us through that just a little bit more what the bidding activity looked like?
Mark Duff: It's broad question Ryan. But in general, we've got the large bids like the Moab one that's been talked about that's a 10- to 15-year contract and Luckey is 10 years as well which is a site in Ohio, and those are big bids with lots of competitors. So it's difficult to really plan on those, because they can go in many different directions. Most of our other projects are between $5 million and $10 million task orders. We've got probably a 10 of those we're waiting here on. And then we have a couple between $20 million and $50 million that we're also pretty optimistic about. And we are pursuing a couple new markets particularly with the Navy in their ship program, and revitalization program had an awful shipyard in Virginia, where we're taking our expertise that we've developed in the DOE market for decontamination and decommissioning and applying it to the Navy and their programs for decommissioning as well. So we're optimistic about that number of bids there. And as I mentioned lots of smaller task orders here and there through some of the IDIQs that we have. We also bid a number of IDIQs. I think we're waiting to hear on maybe seven or eight IDIQs, which are pretty much a license to bid and that there'll be more bids once these are awarded. We're optimistic that we're going to win five or six of those. And know that they're well funded. But again, it's just real slow. They got to award the IDIQs and then run task wars through them and we'll wait like everybody else waiting for that to happen.
Unidentified Analyst: And as we continue to wait for awards to be, I guess handed out, at what point do these facilities just overfill? I mean, at some point I would imagine they can no longer delay and it becomes almost a crisis. Is that a right assessment?
Mark Duff: Yeah. No, what you're speaking about is more the operational waste streams that we get. And there is a certain amount of that that does occur. Most of the projects I'm speaking of are cleanup projects. So you can kick that can down the road on cleanup, and it doesn't necessarily achieve the scenario you just mentioned. So it – those projects will remain. But usually, those projects are holding up something else. In other words, if you got a contaminated building, you want to get rid of it, because you want to put something else there, or meet a milestone. So there is a driver typically, and that's what we're hoping we'll start getting into place here in the next couple quarters.
Unidentified Analyst: Okay. Okay. Thanks a lot for your time, guys. I appreciate it.
Mark Duff: Thanks, Ryan.
Operator:  Up next we have Stephen Fyne . Stephen Fyne, please state your question.
Unidentified Analyst: How are you guys? Hope everyone is okay.
Mark Duff: Hi, Stephen.
Unidentified Analyst: Hi. How you doing? What's an IDIQ? I never heard that term.
Mark Duff: IDIQ is indefinite delivery indefinite quantity contracts. So it was like, what they call a MATOC which is Multi Award Task Order Contract. And its basically, what the government does is they'll award to somewhere between three and 10 contractors. And what the value of that is Stephen is when they make those awards then they don't have to shoot up full RFPs for every project. They basically prequalify you on your experience, on your financials, your capability and all that and then just send out a scope of work and a price sheet and you can do task orders very quickly for a predefined or prequalified group of bidders or companies. So it's a way to accelerate contracts that have lots of different task orders that go through them, or projects that go through them in the next five years kind of a thing. So it's – you don't – when you win a contract like that in IDIQ, you don't win any value. So we don't take the value on it, but you are in a position with reduced competition and reduced investment for when the task orders come out. You can bid quickly, they award quickly. It's not a big investment.
Unidentified Analyst: All right. The $5 million that was forgiven was that money used up, or is that money there, or was it used up?
Ben Naccarato: Well, it's part of – it wasn't a timing thing. We got it last year. We got it in April of 2020. And we're at 7.3% now. So it just was all part of the bank account.
Unidentified Analyst: So there's actually cash there, or is this just an accounting thing?
Ben Naccarato: No, no. No. The cash balance on the balance sheet is a cash balance, yeah.
Unidentified Analyst: All right. All right. And while I have you Ben, when you mentioned there's a $30 million backlog for Service is that supposedly going to be multi-quarter business or just the next quarter or this quarter?
Ben Naccarato: Yes. Yeah, that is all our projects at the point in time. And therefore subcontracts might be – they may run over a year, 1.5 years others may be short burn. So that really doesn't give you an indication of.
Unidentified Analyst: Yes. That doesn't give you an idea. All right. And then the other question is when you were talking about your cost of goods, you mentioned that in there is cost related to bidding. How much is that?
Ben Naccarato: That would be in the G&A not the bidding.
Unidentified Analyst: Yes. Yes. So...
Ben Naccarato: We were about $300,000 over from prior year and a large chunk of that is twofold. One we – as Mark mentioned, a few times the bidding activity was pretty intense. And so we had to bring in help contract, outside contract costs. And then the other piece of that and it kind of goes back to an earlier question about managing our G&A, many times we'll bring in costs related that would be billable in other times. And that increases the G&A number because you use them on a bid and proposal project. So when you – when a new project comes in they move into cost of goods sold and are tied to revenue and that kind of is another way that it manages your G&A costs.
Unidentified Analyst: Got it. Okay. So is it – I guess I'll direct this to Mark. I mean understanding everything that's going on is it – do you think it's feasible that will equal last year, this year I mean do $100 million?
Mark Duff: Steve, I don't believe $100 million is attainable this year…
Unidentified Analyst: Okay.
Mark Duff: Based upon – just based on what's happening with COVID right now in Q3. If you were to ask me last quarter I probably would have felt a little bit more optimistic about it. But DOE is kind of doing a little wait and see on where things are with getting back in the field to a certain degree. Having said all that, I think we can get real close to a fourth quarter that would represent $100 million burn. So in other words, $25 million in every quarter. I think it's sustainable. Yes – if they get the some things awarded we're on the winning end of it.
Unidentified Analyst: With regard to COVID, are you requiring your people to get vaccinated?
Mark Duff: I was wondering if we get that question Steve, it took a while to get to that question. We are not at this point but we are on that path. We're heading in that direction and we're waiting for a couple things to happen. Right now we just did a survey internally. And we're in about the mid-70s percent vaccinated, which is pretty far above the national average. We have about 15% of our staff in that survey have said that they intend to get vaccinated. So I feel confident that we can be in the mid-80s percentage vaccinated in the next couple of weeks based on that survey. Having said that, so I'm pretty comfortable there. We don't have a lot of cases overall in the company but we do in the areas that we live in. But having said all that, if the government goes to a mandate, we'll likely follow those mandates. And right now you've probably heard the Biden administration talk about. Yes, so if the government has it for the government contractors, I can't say for certain that we would implement it right away, but I certainly think it's very – it's highly likely we will.
Unidentified Analyst: I thought, I heard that the military was being -- they were required in the military to be. But I mean wherever you are for lack of a better word politically and with all that's going on and you've got enough troubles with the business and so forth. Certainly, one would not throw into the pot, one would think the possibility that somebody unvaccinated could impact your crippled operation at this point. So I'm very strong on that being essential. All right. You had business out in, what was it transuranic, it was that you would get from CHM2 out in Hanford. Is that true? That's past bid. You will get business.. 
Mark Duff: Yes. 
Unidentified Analyst: Is that -- are you getting that back or what? 
Mark Duff: No. What happened was, is they change contractors out there on the Plateau contract at Hanford, which is an enormous contract as you know. And the administration has changed in headquarters the headquarters and they determine they need to make some adjustments to the way they ship waste, which is not a big adjustment but it does require some permit changes. These permit changes have been ongoing and -- for shipping. And those are expected to be in place in the next month or two. And once those are done, then they'll start to resume shipping again for the transuranic. And that's been a very big impact to us overall, to get that program back in place and we're optimistic that that will be in place in September time frame maybe October and get back to normal the shipments. 
Unidentified Analyst: For just as a I guess for lack of a better word a sarcastic comment, I note that the new contract winner for that the old CHM2 includes people from Aecom, who at least from my read have been obstructive to you in the past. So again, I'm being -- if I'm out of line I'm out of line. All right. With regard ,to the TBI, why all a sudden -- I mean if you did the three gallons, you didn't have to do an environmental study before the three gallons? I mean, why was suddenly they wanted environmental study for the 2,000 gallons? 
Mark Duff: I'm trying to recall, was there an EA for the three gallons, do you remember? 
Lou Centofanti: No. The DOE determined they didn't need it for that size project. So, it was not required for the three gallons. 
Mark Duff: It was a Ponzi, yes. So finding no significant impact because it was so small. That's right, yes. 
Unidentified Analyst: Okay. Well I just find -- and these are my statements, okay? So I just find this whole situation -- the deeper I get in in saying, I mean there was a -- in May of this year who was it? Gary Peterson and Bob Ferguson came out with an article in the paper out in the Tri-City paper. And in there, they point out at the present vitrification plant is functional that it will create a gallon of waste for every gallon that they treat. And so with the escalating costs and so forth if that's so, the whole thing is just insane and absolutely makes no sense. And it's just -- and then we're witnessing -- with the fact we're witnessing the effects of climate change, which has to -- with one reasonable person would think would continue where are they going to find money to pay extra money that's obviously the costs have escalated there. I think what it was two years ago, they said it went up to about $400 million, $500 million or $1 billion. And with all the money that's been pumped in the economy I guess it will be more expensive. So the whole thing to me is just, it just doesn't make sense. It's insane. It's just insane that what you can offer -- I mean, the process from what I understand the process has been proven at Savannah. The science is proven. It just seems to me maybe again being cynical that people do not want you to succeed. But I made my comments. There was -- clearly the world out there wants its vitrification whether it's real or not. My last question, which I didn't understand is you spoke about a TSCR system versus what is at the AVANTech system? What is it -- what's is…
Mark Duff: Thanks Steve for pointing that out. I didn't mention TSCR. That's an acronym that I'm sure very few people know about it. It's the Tank Side Cesium Removal system, which is a very well-engineered system that DOE and its contractors have developed to remove tank waste quickly and efficiently and take out some of the higher level radionuclides cesium out of the process stream. In other words as the waste is rising through the system, it will move it through an exchange system. So what that does is it takes out some of the radionuclides so that we can call this low-level waste and send it to us to treat it. That system, which is a very, very similar to the one at Savannah River that you just mentioned is operating very well is in development and testing at Hanford now and that system could be used to extract tank waste very quickly and efficiently once it's gone through the readiness process and demonstration process or we could put the system in that was designed for this application just for us. Either way we'll take the 2,000 gallons, however, we can get it. But the TSCR system, which is the one we're developing now would be very efficient and we demonstrate how it works and could be used very efficiently and provide the opportunity to keep the waste coming after they do the demonstration.
Unidentified Analyst: So my readings were -- so this TSCR system you have stuff -- the AVANTech is by -- is this next to the tank?
Mark Duff: Yes.
Unidentified Analyst: So how does this differ? I mean, I've read that they actually approved the AVANTech system and there were even article subsequent to that we're supposed they purchase huge containers where they were going to store the waste into the containers and then would go for treatment. So is that the same thing we're talking about?
Mark Duff: That's the same thing we're talking about, yes.
Unidentified Analyst: Yes. Okay. All right. All right. Well, I -- the thing I guess, look, I think you guys -- your attitude is great. You couldn't ask for -- it's a tough area. And I applaud the effort and everything. But this TBI thing disturbs me, because number one, even if you looked at this as a support function for the plant, which as I understand is not going to be even big enough to handle everything. A smart businessman would have a backup. And the way this has moved, the way this is structured, after all this time this, to me reminds me of how long it took you to get to three gallons and we're talking next summer and why next summer. I mean why can't this -- why can't there be a lower urgency? But again, that's my thought process. My hope is with all this other stuff you're doing, that you'll become a $200 million company by the end of 2022 or thereabout. And if something like this happens, it happens and so forth. But again, look, it's tough times. I applaud you guys. I most importantly applaud your attitude. I think your attitude is fabulous. You're looking ahead. You've gone through tough times and just keep it up, because the old story is the people win when you're there in the end, who don't give up. Thank you all.
Mark Duff: Thank you, Steve. I appreciate the kind words.
Operator: There are no further questions at this time. Ladies and gentlemen, this does conclude today's Q&A. I would now like to turn the call over to management for any closing remarks.
Mark Duff: All right. Thank you very much. I'd like to thank everyone for participating in our second quarter conference call. As we said, we remain extremely bullish on the outlook for business, and believe we're extremely well-positioned for growth. We appreciate the continued support of our shareholders, and look forward to providing further updates as developments unfold. Thank you.